Operator: Good day, everyone. My name is Jess, and I will be your conference operator today. I would like to welcome you to the First Advantage Third Quarter 2022 Earnings Conference Call and Webcast. Hosting the call today from First Advantage is Stephanie Gorman, Vice President of Investor Relations. [Operator Instructions] Please note today's event is being recorded. It is now my pleasure to turn the conference over to Stephanie Gorman. You may begin.
Stephanie Gorman : Thank you, Jess. Good morning, everyone, and welcome to First Advantage's third quarter 2022 earnings conference call. In the Investors section of our website, you will find the earnings press release and slide presentation to accompany today's discussion. This webcast is being recorded and will be available for replay on our Investor Relations website. Before we begin our prepared remarks, I need to remind everyone that our discussion today will include forward-looking statements. Such forward-looking statements are not guarantees of future performance. Actual results may differ materially from those expressed or implied in the forward-looking statements due to a variety of factors. These factors are discussed in more detail in our filings with the SEC, including our 2021 Form 10-K and our Form 10-Q for the third quarter of 2022 to be filed with the SEC. Such factors may be updated from time to time in our periodic filings with the SEC, and we do not undertake any obligation to update forward-looking statements. Throughout this conference call, we will also present and discuss non-GAAP financial measures. Reconciliations of our non-GAAP financial measures to their most directly comparable GAAP financial measures to the extent available without unreasonable efforts appear in today's earnings press release and presentation, which are available on our Investor Relations website. I'm joined on our call today by Scott Staples, First Advantage's Chief Executive Officer; and David Gamsey, our Chief Financial Officer. After our prepared remarks, we will take your questions. I will now hand the call over to Scott.
Scott Staples : Thank you, Stephanie, and good morning, everyone. Thank you for joining our third quarter 2022 earnings conference call. We are pleased with our third quarter results marked by 6.8% year-over-year revenue growth. Please note, foreign currency had a significant impact on our results this quarter. On a constant currency basis, our revenue would have been approximately $3.5 million higher, representing 8.6% year-over-year growth. Our performance was delivered by First Advantage team members across the globe who are doing an incredible job helping our customers' hire smarter and onboard faster, which is how we win in the marketplace. Our continued growth in the third quarter, albeit at more moderated levels, follows 8 consecutive quarters of extremely robust double-digit revenue growth and was achieved despite the difficult macro environment, foreign currency headwinds and cycling over the remarkable 41% revenue growth we experienced in the prior year period. We saw sustained resilience in our business in the face of broad macroeconomic pressures, including inflation, higher interest rates and geopolitical volatility. Looking at results for the last 12 months through September 30, we have grown revenues and adjusted EBITDA each by approximately 23% and achieved a very strong adjusted EBITDA margin of approximately 31%. This growth is in addition to the incredibly strong results we had during the prior year period. We have accomplished this by leveraging our digital initiatives, including automation, bots, machine learning and artificial intelligence, which allows us to do things better, faster and more cost effectively. On top of this, our growing in-house databases reaching 650 million records, continue to strengthen our value proposition to our customers who depend on the speed and quality of our solutions to help them succeed in today's dynamic and fast moving hiring environment. Turning to Slide 5 and a summary of our notable business achievements in the quarter. In prior calls, we have discussed the macro job trends and structural tailwinds supporting our long-term revenue growth outlook as well as the growth and resiliency of our industry. First Advantage's jobs market tailwinds are driven by factors including frequent job switching, low unemployment rates, high demand for workers and elevated levels of job churn. These factors continue to fuel our customers' hiring needs, resulting in sustained demand for our products and solutions, particularly in North America. In the era of high velocity hiring, fundamental changes in how people work and apply for jobs are here to stay. In addition, human capital management, risk mitigation and compliance are increasingly paramount and complex with heightened C-suite focus on workplace safety and reputation risk. The majority of our revenues are tied to customers whose hiring we consider high volume and high velocity, where turnover is often very high and fast turnaround times are critical, as employers are seeking to fill positions rapidly even on the same day. Additionally, our differentiated go-to-market strategy and verticalized enterprise sales force have enabled us to win an impressive 11 new logo enterprise customers in the third quarter and 29 new logo enterprise customers in the past 12 months. As a reminder, we define new logo enterprise customers as those with $500,000 or more of annual expected revenues. Additionally, our customer retention rates remain high at over 97% for the past 12 months. In September, we announced the opening of a new office in Krakow, Poland, which is emerging as a technology hub in Europe. This is a great opportunity to cost effectively expand our global technology, operations and customer care footprint in the region with an attractive talent pool. We view international as an important part of our long-term growth strategy. Additionally, we are excited to have launched our digital identity verification solution in the U.K., enabling employers to offer job applicants remote digital identity verification services, customers currently using this solution has provided very positive feedback, and we have seen an increasingly large number of inquiries from potential new customers. This product provides an innovative and much-needed solution to the U.K. market following right to work and criminal records check regulation that allows applicants to use a fully digital process, replacing what was previously a manual document checking procedure and reducing turnaround time from days to hours. Our fast, seamless experience enables a full digital journey using a single application to complete the checks, which means our customers can onboard applicants faster. With our innovative new solution, we are an early mover in this important and attractive market and optimally positioned to provide the solution globally as other countries in Europe adopt similar digital identity standards. This technology solution provides us with opportunity to upsell existing customers as well as gain new customers, all while increasing margins through the digital and touch list rather than manual offering. When coupled with our background screen, in the future, we expect to be able to provide a full end-to-end digital verification suite of products. Developments like this help us deliver smarter, faster and more innovative products and solutions and continue to differentiate First Advantage as an industry leader in the minds of our customers and partners. We have several new products in the pipeline for introduction in the first half of 2023, and we look forward to sharing more details about them in the future. We are also very proud of our award-winning technology and corporate culture, supported by our significant focus on diversity, equity and inclusion. This year, our efforts have been validated by multiple awards from respected industry publications. Now turning to Slide 6 and a summary of our financial highlights for the third quarter. I'll spend a few moments giving you an overview then David will provide further color on our results. Continued resilience in our business helped us achieve year-over-year revenue growth of 6.8% or 8.6% on a constant currency basis, marking our second highest revenue producing quarter in our history. These results were achieved on top of the impressive 41% revenue growth we experienced in Q3 2021. Our unique ability to deliver innovative products and solutions that address our customers' ever-increasing demands for faster turnaround time, quality, compliance and applicant experience contributed to the durability of our financial results. Growth and resiliency in our Americas business remains strong, offset in part by significant foreign currency headwinds and macro-related softness in our International segment. Looking at our verticals this quarter we saw continued strength in transportation and healthcare with roughly flat performance in business services and retail, which were cycling over exceptionally strong comps. This was offset by declines in financial services and staffing verticals. We are pleased to have delivered superior adjusted EBITDA margin of more than 31% and overall adjusted EBITDA growth. Although adjusted EBITDA year-over-year growth was modest in Q3 as previously anticipated, this was against a prior year period that experienced 47.7% growth. We have been able to achieve our margins through our continued focus on driving operational efficiencies and digital initiatives, expanding the use of our proprietary databases and leveraging our G&A infrastructure. We continue to generate strong cash flow from operations, driven by revenue growth and superior margins. Our strong cash position gives us flexibility around capital allocation priorities. We also continue to invest in digital technology, automation, proprietary databases and our verticalized go-to-market strategy. On top of this, we have a flexible cost structure and strong operating discipline around managing in softer macroeconomic conditions. And finally, I am pleased to share that our Board of Directors has increased and extended our share repurchase program by $100 million through December 31, 2023. I will now turn the call over to our Chief Financial Officer, David Gamsey, for more details on our financial results. David?
David Gamsey : Thank you, Scott, and good morning, everyone. Let's begin our financial review on Slide 8. Versus the prior year, our third quarter revenue grew 6.8% to $206 million or grew 8.6% to $209.4 million on a constant currency basis. This was on top of 41% revenue growth in the comparable quarter of 2021. Also, please note that the currency headwind, we experienced in Q3 was more severe than what we had anticipated heading into the quarter. In our Americas segment, revenues of $176.1 million were up 10.8% from Q3 2021, driven by strong new business growth and acquisitions. The third quarter of 2022 would have been even stronger except for a delayed start to seasonal hiring, which picked up in the beginning of October this year compared to mid-September in 2021 and which is more consistent with historical timing patterns. In total, Americas represented 85% of consolidated revenues in the quarter. In our International segment, revenues of $31.6 million were down 11.1% from Q3 2021. On a constant currency basis, our revenues would have been $3.3 million higher or only down 1.8% year-over-year. We were also lapping exceptionally strong 123% organic growth from the third quarter of 2021 as these regions rebounded from the impacts of the COVID-19 pandemic. This makes any type of year-over-year comparison difficult and less meaningful. Our 3-year third quarter international revenue growth CAGR is 26.4%. Additionally, economic slowdowns slightly positive. Revenues from new customers contributed $9.3 million or approximately 5% to our year-over-year growth. Revenues from our acquisitions contributed $8.4 million during the quarter. Adjusted EBITDA for the quarter was $64.2 million, an increase of 0.4% compared to Q3 of 2021, during which we grew adjusted EBITDA by a very high 47.7%. On a constant currency basis, our adjusted EBITDA would have been approximately $1.1 million higher or $65.3 million. Lower year-over-year revenues from our international business and the difficult FX environment impacted our adjusted EBITDA growth. Additional headwinds, which we identified and discussed last quarter included year-over-year increases in insurance premiums and third-party verification costs, additional investments in technology and sales and the mix impact of integrating acquisitions with historically lower margins. Despite these factors, our adjusted EBITDA margin remained very strong at 31.2%. Adjusted net income decreased 5.1% to $40 million from $42.2 million in Q3 2021. This was primarily attributable to higher interest expense, partially mitigated by our interest rate hedge and depreciation and amortization associated with ongoing investments in the development of our proprietary software. Adjusted diluted EPS was $0.26 per diluted share for the quarter. Excluded from the adjusted net income calculation is the $4 million gain associated with our interest rate swap in the third quarter of 2022, bringing our year-to-date gains to a total of $11.4 million. On a pretax basis, this represents $0.03 per share for the third quarter and $0.07 per share year-to-date. Again, we've excluded this positive gain from our adjusted net income for comparability. The adjusted effective tax rate for the quarter was approximately 24.6%, consistent with prior periods. Slide 9 is included to illustrate our consistent track record of delivering growth throughout the business cycle. We are very pleased with their accomplishments and revenue growth trajectory since becoming a public company in June of 2021. Over the last 3 years, our total compound annual revenue growth rate was 20%, which we believe is leading among our public industry peers. While our business has been impacted by certain macroeconomic factors, we have still demonstrated our resiliency and ability to continue to grow during both the COVID 2020 downturn and throughout the volatility of 2022. In addition to our revenue growth, on Slide 10, you can see our track record of increasing adjusted EBITDA and consistently delivering industry-leading margins over many quarters. Over the last 3 years, our total compound annual adjusted EBITDA growth rate was 27.9% with excellent quality of earnings. Additionally, our margin strength is the result of continuous work to increase our operational efficiencies, automation at scale and expand our usage of proprietary databases. While we did face some headwinds in Q3 that I described a few moments ago, we still grew over these items year-over-year and achieved EBITDA margins of over 31%. We had a very flexible cost structure. We will continue to monitor the macroeconomic environment closely and moved swiftly to reduce costs as necessary as we did in Q2 of 2020 during the COVID-related downturn. Next, turning to Slide 11. In the third quarter, operating cash flows increased 67.2% to $46.4 million, driven by our revenue growth and profitability as well as reflecting our strong cash flow conversion, which we expect will continue throughout the year. On a year-to-date basis, cash flow from operations was approximately $143 million, up over 70% year-over-year. During the quarter, we spent $7 million on purchases of property and equipment and capitalized software development costs. We ended the quarter with total debt of $565 million in cash and cash equivalents of $390 million. We also have $100 million in untapped borrowing capacity under our revolving credit facility with no outstanding balances. Based on our last 12 months adjusted EBITDA of $248 million, we had a net leverage ratio of 0.7x as of September 30. Let me also highlight that we have an interest rate collar with approximately 50% of our long-term debt cap at 1.5% 1-month LIBOR rate through February of 2024, and we have no principal payments due before 2027. Our interest rate exposure on the remaining uncapped amount of our debt is offset by our interest earnings on cash deposits. As a result of this financial planning, our debt structure has us very well positioned to handle the rising interest rate environment ahead. Our balance sheet strength, cash and liquidity position, low leverage and expectations for continued free cash flow generation provide us with flexibility in our approach to capital allocation. Our capital allocation priorities include constantly evaluating acquisitions, which target opportunities aligned with our strategic priorities, including adding vertical capabilities, expanding internationally or acquiring complementary solutions, data or technologies. As a result of our very strong and liquid balance sheet, consistent cash flow generation and a seasoned leadership team with deep M&A execution experience, we are well positioned to capitalize on future M&A opportunities that meet our criteria. We continue to drive organic growth through investments in technology, automation and product innovation as well as initiatives to our sales and solution engineering functions. Last quarter, we announced a share repurchase program with authorization to purchase up to $50 million of common stock through August 2, 2023. Today, we announced that our Board of Directors has increased and extended the authorization by an additional $100 million through December 31, 2023. We plan to use existing cash to fund repurchases made under the share repurchase program. And as context, we currently have approximately $390 million of cash on our balance sheet, and we generated operating cash flow of $46.4 million in Q3 alone, $142.8 million on a year-to-date basis and over $200 million over the last 12 months. This still leaves us with significant flexibility and liquidity. As a reminder, no shares under this plan will be purchased from Silver Lake or its affiliates. Through November 4, we repurchased $21.6 million of common stock or approximately 1.6 million shares under the program. We believe it is important to maintain a strong balance sheet with a conservative capital structure and a flexible leverage profile. We expect to fund potential future acquisitions, first, from available cash on the balance sheet. We continually evaluate our capital allocation priorities and believe that a balance between M&A, returning capital to our stockholders and investing in the continued growth of the company will maximize shareholder value. Next turning to Slide 12. Today, we are revising our full year 2022 guidance ranges to reflect our updated view for the remainder of the year. You'll recall that thanks to outperformance in the first half of the year, we had raised their guidance during the year, primarily to reflect this first half strength. During the third quarter, a portion of the outperformance from the first half was essentially given back to due to increasing strong foreign currency headwinds, macro-related declines in our International segment and more moderate but still positive organic growth in our Americas business. We currently are experiencing a continuation of similar trends so far in Q4 with October revenues growing, albeit at moderate levels, both year-over-year and sequentially month-over-month, which we have now incorporated into our revised guidance. Even given these factors, I just walked you through, on a full year constant currency basis, our revised 2022 revenue and adjusted EBITDA guidance is in the range of our initial guidance, which we provided at the beginning of the year. We now expect to generate full year 2022 revenues in the range of $813 million to $820 million, representing approximately 14% to 15% year-over-year growth, down slightly from prior guidance and equating to 9% to 10% growth on an organic basis. On a constant currency basis, this represents 16% to 17% year-over-year growth or a range of $823 million to $831 million. Keep in mind, this is on top of the significant 40% plus revenue growth we experienced in 2021. At the midpoint, this implies a 19% 3-year CAGR since 2019. We expect 2022 adjusted EBITDA to be in the range of $247 million to $251 million, representing approximately 9% to 11% year-over-year growth. On a constant currency basis, our implied adjusted EBITDA range is $250 million to $255 million or 11% to 13% year-over-year growth. This growth is on top of the 54.2% adjusted EBITDA growth that we experienced in 2021. We expect our 2022 adjusted net income to be between USD154 million and USD157 million, primarily due to the previously discussed factors. We have included additional color on other assumptions in the footnote on Slide 12. Considering the factors I just spoke about, we are taking actions with our cost structure to enable us to continue to be nimble heading into 2023 as well as actioning selective price increases and other revenue growth initiatives. We have successfully managed through challenging times in the past, notably during the 2020 COVID-related downturn and have a strong operating discipline around doing sales. We maintain a flexible cost structure and have confidence in our ability to retain customers, grow share, win new business and upsell and cross-sell. We are supported by our strong balance sheet in cash flow generation. While we are still early in the budgeting process and plan to give full year 2023 guidance during our next quarter's earnings call as is our usual timing, we wanted to provide a preliminary perspective given the macroeconomic backdrop. Even with the headwinds cited, we would expect to achieve growth for full year 2023, albeit below our long-term target ranges. Note that the comparison is most difficult early in the year as we grew revenue by nearly 30% in the first half of 2022. Of course, we plan to provide more specific 2023 guidance next quarter, which also will take into account any further degradation or improvement in the macro environment. Rest assured that we are being vigilant on the things we can control on revenue, cost and capital structure to drive shareholder value and various macroeconomic scenarios. I will now turn the call back over to Scott.
Scott Staples : Thanks, David. I will conclude our prepared remarks today by reiterating that I am excited about the opportunities ahead for First Advantage and that we are well positioned in our industry. Our focus continues to be on delivering outstanding service to our customers and long-term value to our shareholders. Thank you very much for your time today and your ongoing support. At this time, we will ask the Operator to open the call for your questions.
Operator: [Operator Instructions] Our first question will come from David Togut with Evercore ISI.
David Togut : David, could you expand upon your commentary that you expect to achieve revenue growth for the full year 2023. To the extent, you have any view of what that growth might be, at least in broad ranges? And then second, what are your underlying assumptions about the economy in U.S. and your international exposures? And any thoughts on JOLTS?
David Gamsey : So several questions there. Let's start with 2023. It's clearly very early, and we expect to give additional guidance relative to 2023 next quarter as is typical. What we expect so far and what we're currently anticipating is growth for the full year in 2023, although the first half will be somewhat dampened as we do have 30% comps that we have to grow over. We do believe that growth for the full year will be less than our long-term targets, which we have previously provided as being in the 8% to 10% organic range. Relative to what we're seeing in Q4 and currently, we are seeing a slowdown in international, both from a macroeconomic perspective and clearly, from an FX perspective. FX headwinds were greater than we anticipated. We have now baked that into our guidance. The North America segment while moderating has continued to grow. And let me give it to Scott relative to JOLTS data and other macroeconomic discussions.
Scott Staples : Thanks, David. And David just real quick on international, I think most of the slowdown we're seeing is actually in APAC, EMEA. EMEA is actually doing okay. And one of the things to remember there is our international business is lapping like 123% organic growth from the third quarter of 2021. So it's big numbers to grow over. But clearly, from a softness standpoint, we're primarily seeing it only in APAC. From a JOLTS standpoint, the macro indicators are still favorable with openings of -- according to the September data, openings were 10.7 million higher, 6.1 million in quits and another month of 4 million in more quits. That now makes 18 straight months of over 4 million quits. So let's say, 73 million to 74 million people have quit their job in the last 18 months. When you look at the U.S. job market of only maybe 165 million workers, that's a pretty significant number and it's good for our business. So I think the job market continues to be resilient yet softening from the historic levels we saw earlier in the year. But we think that these numbers are still favorable to our business. And given this new era of high velocity hiring, we also feel these fundamental changes in the job market are here to stay.
Operator: [Operator Instructions] We'll go next to Andrew Steinerman with JPMorgan.
Andrew Steinerman : Could you just repeat what you said about organic growth, 9% to 10% for the year? Was that organic constant currency? And the math is a little hard. It would be helpful if you could just help us understand what the implied guide is for organic constant currency in the fourth quarter?
David Gamsey : Andrew, we do have a chart that shows that in the presentation. That will be very clear and that will be able to take you through that. But the 9% to 10% was on an organic basis and was before constant currency adjustments.
Operator: We'll go next to Manav Patnaik with Barclays.
Manav Patnaik : Yes. So I just want to understand the 2023 preliminary forecast that assumes basically current trends. So U.S. will still be, I guess, moderating, but positive and then just weakness in international. Is that what it is?
David Gamsey : It's very early to be giving guidance around 2023, given the diversity of our client base, the focus on international customers, the split of approximately 85% North America and 15% international. We do believe that we're going to see continued growth in 2023, given all of the current conditions and conversations with their clients. But again, we'll give much more detailed guidance on that next quarter.
Manav Patnaik : Okay. Fair enough. And then I was hoping you could just elaborate on the decline in the financial services and staffing verticals that you called out. I was hoping you could give us just a little bit more color around what exactly you're seeing there.
Scott Staples : I don't think we want to go into details of vertical by vertical. Starting in 2023, we actually will provide much more granular detail on a vertical basis. But in general, you're also -- you're talking about two industries that did a lot of hiring in 2021 as COVID bounce back. So this is really those two industries sort of getting back to more moderated hiring levels and pulling back on hiring. But again, we'll provide more details when we get into 2023 and give you a more granular view.
Operator: We'll go next to Ashish Sabadra with RBC Capital Markets.
Unidentified Analyst: This is [Samir] calling in for Ashish. Just wanted to get a refresh on the technology program update and the proprietary software development, if you can share the latest thoughts on where you are and in terms of the releases and benefits you expect from the program, please?
Scott Staples : Yes. I'm not sure what the specific question is there. But on the proprietary databases, we'll go there first. We've been very committed to building up our own databases and leveraging our experiential data to help improve margins and decrease turnaround time. It's been very effective, and it's a strategy that we'll obviously stick with. And right now, we're up to 650 million records, 50 million of them are in our verified database and 600 million are in our criminal records database. On the technology platform, I think the most exciting stuff about the platform is all the things I talked about around the digital identity verification that we're seeing in the international market. It's getting a lot of buzz. It's got a great pipeline. We are predicting a nice impact on growth from that product. And obviously, it's still early days with the regulations just going into effect actually this month in the U.K. But as we see other European countries adopt the digital regulations, we think it gives a nice growth opportunity for us in international, especially in EMEA.
Unidentified Analyst: Got it. And just a quick one on pricing trends, you mentioned some increases from verification partners. Is that having any impact on customer behavior? Or it is still pretty reasonable right now?
Scott Staples : Well, a couple of things there. Keep in mind, we can pass through third-party price increases, so all our contracts have that. So we passed any increases we get from third-parties, we do pass through. We -- the area that's most affected is verification. And we do have some customer unhappiness with price increases on third-party data providers for verifications, which is why we've been moving to alternative solutions for quite some time now. So the first place we'd like them to go is our own database called Verified. But as you remember from last quarter, we announced new integration partners with Plaid, and we've got other earlier announcements around instant verification of current employer with partners like [Truce]. And I think it's an interesting segment in the market today to keep an eye on the verification goes, because the price points have gotten very high. So our customers are asking us to come up with alternatives. And I think we're way ahead of the game here. We're the only ones with a proprietary database. We've been announcing these new alternatives for months and months now. So we are a bit ahead of the game compared to the rest of the industry. But this is definitely an area of concern for us because it's an area of concern for our customers. And as I mentioned, we'll continue to provide alternatives and show leadership in this area.
Operator: Our next question comes from Shlomo Rosenbaum with Stifel.
Adam Parrington : Adam on for Shlomo. Compare with yours recently you pointed the broad-based volume declines in the base in the second half of 3Q '22. But the person is saying that the weakness is clearly more in the international and APAC specifically. Can you clarify what you're seeing in the Americas segment currently? And how it played out through the quarter?
Scott Staples : David?
David Gamsey : So international, clearly, as Scott said earlier, we've seen some slowdown in APAC. We're anticipating that, that's going to continue through Q4. We saw a little bit of a pullback in India, but to a lesser extent, in EMEA is still pretty strong for us, put the FX impact on top of that. And it's clearly a drag on our earnings and our growth rate. And as we said earlier, North America, while it's moderating has continued to grow. The other part that you have to keep in mind is, we had phenomenal growth last year, as it had a COVID rebound with 123% organic growth rate, and we're still having to grow over those types of numbers.
Scott Staples : Yes. I think just also keeping in mind our vertical go-to-market strategy has proven the resilience in the past, especially during COVID as we grew -- actually grew there in COVID. So I think a lot of that also points to our go-to-market strategy of diversifying cost, what we consider high-volume, high-velocity customers. So I think that helps us with our numbers.
Adam Parrington : Okay. Other question is, how is the company adjusting its cost base to deal with the anticipated lower revenue volume besides flexibility on the purchase cost. Is the company slowing any hiring or delaying in its internal project?
David Gamsey : So we have a very variable cost structure and very flexible. 70% of our cost of sales are third-party cost. If we don't do a search, we have none of those costs. So that's a huge component that we can 100% control, and we do. Then when you get to staffing from an operations perspective, we have the ability to flex up and down a good tenor 20% by adding shifts, reducing shifts and through overtime, and we manage volume demand and headcount correspondingly. Additionally, we monitor FTEs all the time. We look at that very closely. We did ramp up for our peak season. We'll be taking headcount out as we always do when peak ends. So we're constantly monitoring those costs and adjusting them as necessary.
Operator: We'll go next to Kyle Peterson with Needham.
Kyle Peterson : I just wanted to reconcile, I mean, it seems like at least in EMEA and North America, things are holding up pretty well here. Just want to see, are you guys seeing anything with some of the existing clients kind of lowering volumes a little bit and you guys are making up for that you called out the 11 new vertical wins? Or is this under the hood kind of on a same-store sales basis type of thing? Are things still just holding up pretty well throughout with all your key clients in both of those regions?
David Gamsey : Well…
Scott Staples : No, go ahead, David. Yes, I'll jump in after.
David Gamsey : Okay. I was going to say, in North America, we did see our peak season start a little bit later this year, but it did pick up in early October as opposed to mid-September. Last year, it ran all the way through the end of December. This year, we think it's going to end earlier, probably between December 10 and December 15. That's also why our guidance reflects that by the way. But we're still seeing our clients hiring, we're still getting a good flow of orders. There is still seasonal demand. It's just been moderated somewhat.
Scott Staples : Yes, I would say, we're -- I would just add to that. What we're hearing from our customers is a return to somewhere between moderated and normal hiring. We're getting strong, buying signals from our customers. But obviously, you have to overlay the macro potential headwinds there. But we're still -- like I said, I think we see a return to moderated yet still positive growth over the next couple of quarters based on what our customers are saying today.
Kyle Peterson : It makes sense. That's really helpful. And I just wanted to get an update on the M&A pipeline here. Just if -- how is that pipeline for you guys kind of the buyback this quarter and you guys are generating plenty of cash here, but how are discussions going or valuations kind of reasonable? Or are they still a little disconnected from what we're seeing in the public markets?
Scott Staples : I think, we're still seeing a little bit of unreasonable disconnected valuations. So that's certainly a factor to consider -- M&A pipeline is actually still pretty good in certain areas that we're looking. But I'd say, overall, there's less deals that we're looking at, primarily because of either the valuation or people are just being patient and just sort of going to wait the economy out. But there still is deal flow, and there still are opportunities that we are looking at. And we'll keep you posted as to where that goes. But definitely, I guess, lower on the volumes, but still some attractive opportunities out there.
Operator: [Operator Instructions] We will go to Stephanie Moore with Jefferies.
Stephanie Moore : I just want to touch a bit on any impact of seasonality in your business. Could you maybe talk through, as you look at some of your largest verticals, do you find that in the fourth quarter, you have a higher portion of more seasonal workers that tend to be kind of seasonal type great workers just given retail and transportation concentration versus kind of other quarters of the year?
David Gamsey : We do see that. Absolutely. Our Q4 is generally our largest quarter because of that seasonal hiring. As I mentioned, it did start a little bit later this year, and we think it's going to end a little bit earlier this year, but there is some seasonality in Q4.
Stephanie Moore : Got it. That's helpful. And then maybe also kind of touching through exposure to SMBs and kind of how you view your new -- pretty impressive new logo wins. Are you finding that as kind of broad-based in business sizes? Or just any color you can provide on kind of general SMB to larger enterprises that you're seeing kind of demand trends from?
Scott Staples : Yes. I think from -- I think our positioning in the market has always been around enterprise. We focus on enterprise customers. So we don't have a lot of exposure to SMB, which we think is a benefit, especially in a down economy. So all of those wins that we announced are from enterprise companies, so these are larger companies, larger hiring volumes. Again, we define enterprise as a customer that's going to spend $500,000 or more annually with us. So those are large companies, large deals, and that is the focus of the company.
Operator: Over to Shlomo Rosenbaum with Stifel.
Adam Parrington : This is Adam, again. One more quick follow-on question. How should we think about interest expense going forward?
Scott Staples : Interest expense.
David Gamsey : So interest expense should be pretty flat going forward, pretty consistent. We are now generating with our excess cash, a lot of interest income that is offsetting quite a bit of that. So I think what you're seeing in Q3 will be very consistent. Keep in mind we have a hedge in place that covers about 50% of our long-term debt. So we think we're really well positioned from that perspective.
Operator: And I see no further questions in the queue. I'll now turn the conference back over to Mr. Staples for closing remarks. Please go ahead.
Scott Staples : Great. So I just want to thank everybody today for joining the call. We appreciate the continued interest in First Advantage. Thanks again, and have a great day.
Operator: Thank you. This concludes the First Advantage third quarter 2022 earnings conference call. Thank you all for your participation. At this time, you may disconnect your lines, and have a wonderful day.